Operator: Good morning. My name is Janice and I will be your conference operator today. At this time I would like to welcome everyone to the Third Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions]. Thank you Mr. Jurkoshek, you may begin your conference.
Jack Jurkoshek - Director of Investor Relations: Good morning everybody. I would like to thank you for joining us on our 2007 third quarter earnings conference call. And I would like to particularly welcome those of you who maybe participating in the webcast to this event. Joining me this morning is Jay Collins, our President and Chief Executive Officer who will be leading the call; Marvin Migura, our Chief Financial Officer; and Bob Mingoia, our Treasurer. Just as a reminder before we start, remarks we make during the course of the call regarding our business strategy, plans for future operations and industry conditions are forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. And I am now going to turn the call over to Jay.
T. Jay Collins - President and Chief Executive Officer: Good morning and thanks for joining the call. It's a pleasure to be here with you today. During the third quarter of 2007 we again achieved record quarterly earnings. This is evidenced not only of the high demand we are experiencing for our subsea services and product but also our strong operational performance, Earnings of nearly $54 million were 40% above the third quarter of 2006 more than 10% above last quarter. Our earnings were above both our guidance range and the street estimate as all of our operations particularly subsea projects performed above what had been anticipated. Both the year-over-year and sequential quarterly net income improvements were attributable to record operating income performances by our ROV, subsea products, and subsea projects segments. Year-to-date our subsea products, subsea projects, and inspection businesses have earned more operating income than in all of 2006. Consequently on a company wide basis, we have earned more net income in the first three quarters of 2007 than in all of last year and have already achieved record earnings for the fourth consecutive year. Given our third quarter performance and our slightly improved fourth quarter outlook, we are raising our 2007 EPS guidance to a range of $3.15 to $3.25, a growth rate of approximately 40% over our 2006 results. Looking ahead into next year, our business prospects continue to look promising and we are initiating 2008 EPS guidance with the range of $3.50 to $3.80 based on an estimated average of 56.5 million diluted shares. This growth in EPS is anticipated to be led by continued profit contribution increases from our ROV and subsea products businesses. I'll talk more about this later. Now, I will review our operations for the third quarter. Our ROV business achieved record operating income. Year-over-year ROV operating income increased over 30%. We improved our average revenue per day-on-hire to a record $8600 up 15% and increased our average operating income per day-on-hire to over $2400. We also increased fleet size by 10%. Sequentially ROV operating income increased by nearly 10% on an improvement in average pricing per day-on-hire and an increase in days-on-hire. Our utilization rate of 88% for the quarter matched our all time high, set in the third quarter of 2005. During the quarter, we added four systems to our fleet and retired two. As of the end of September, we had 204 systems available for operation up from 18... up... sorry, up 18 from 186 at the end of September a year ago. Our fleet mix during September was 68% in drill support and 32% in construction and field maintenance. This compares to 67-33 mix in June of this year and 71-29 mix in September 2006. Our subsea product segment also had a record quarter. Sequentially, segment operating income rose nearly $9 million up over 40% on higher umbilical manufacturing throughput by Multiflex and an increase in demand for all of Oceaneering Intervention Engineering specialty product offerings. Year-over-year the 14 million or over 90% improvement in products operating income was broad based with all of the products we made contributed to the increase led by installation control services, ROV tooling and umbilicals. At the end of the quarter, our products backlog was $344 million up over 20% from the $281 million of year ago and down 9% from the $378 million at the end of last quarter. Last week Quest Offshore, an independent industry market research firm, updated their 2007 umbilical forecast. As a result of delays and the timing of subsea projects, Quest reduced their projection for this year. They are now forecasting umbilical orders placed in 2007 will be flat with 2006. The previous Quest forecast projected 2007 orders to exceed 2006 by 40%. As further evidenced, our project delays that are occurring Quest's latest forecast indicates 40% of the projected 2007 orders remain to be placed in the fourth quarter with contract or letters of intent on about half of those yet to be secured. So, it's easy to summarize that availability of resources, people and equipment is causing subsea project timing to slip to the right. While we would prefer this not be the case, we are not alarmed by this development. A long-term trend for subsea completions is not impacted by slippage of orders from one calendar to the next. And we believe there will be plenty of work for us in 2008. For 2008 umbilical orders are currently forecast by Quest to increase 40% over 2007 despite a slightly lower base case tree order forecast. This is attributable to three major assessments by Quest. First, a carryover pinup demand due to order delays; second, anticipation of the average offset distance between three installations and host platforms will increase; and third, umbilical orders are being placed closer to three installation dates. In addition to the slippage in industry orders during the quarter, a large $65 million Gulf of Mexico Steel Tube Umbilical and Power Cable contract we have been pursuing was awarded to a competitor. We are now projecting our yearend backlog to be comparable to that at the end of June 2007 or approximately $380 million. There are prospective jobs that should be awarded near the end of the year or early 2008 which would increase our yearend backlog by up to 10% over our current projected level. However, we believe it's prudent to use the lower figure in our estimate. We remain confident that our subsea products segment operating income will improve in 2008 which I'll address shortly. Our subsea projects business, which is conducted in the Gulf of Mexico, achieved another record level of profit performance during the quarter, as we continue to benefit from high market demand for our diving and vessel services. This segment performed better than we had forecasted due to excellent operational execution and demand for additional services on hurricane damage projects, particularly the previously announced BP America's contracts to support platform decommissioning operations. Sequentially, our inspection business performed at a very high level, comparable to last quarter. This was due to a continuation of high demand for our services in general and in particular by oil refineries, petrochemical plants and power stations. Year-over-year inspection operating income improved by 40% on an increase in revenue of 28%. This growth was large spread, as it came most of the geographical areas in which we operate and is evidence of market demand growth. Our success in securing new contracts, selling more value added services and increased pricing. Our MOPS segment had lower results during the quarter as our production barge San Jacinto went off hire as previously announced. We're still investigating our options with respect to this asset and will keep everyone posted once the decision is made. Most likely it will be sold in 2008. The earnings contribution from our Medusa Spar investment reported an equity income from unconsolidated affiliates also declined as the reserves currently being produced are naturally depleting. Once these production zones have been depleted, the existing wells will be worked over to commence production from other zones behind pipe. The Medusa Spar continues to produce in line with our original projections. Our ADTECH non-oilfield business had a quarter. Sequentially the slight change in results reflects normal fluctuations in business activity and job mix. Year-over-year improvements in revenue and operating income were attributable to our non oilfield business... to most of our non-oilfield business activities. This was led by Marine Projects Group, which performs engineering build and procurement services for the U.S. Navy. This group did more work on navy summaries during the quarter this year compared to last year. And now I am now going to turn the call over to Marvin to discuss our unallocated expenses, cash flow, capital expenditures and balance sheets.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Thank you Jay. Good morning everybody. Our unallocated expense were higher both year-over-year and sequentially due to the higher incentive compensation expenses. Year-over-year restricted stock expense associated with long-term incentive compensation awards granted in 2002 was a primary reason for the increase. As we've explained before, a portion of the expense associated with the restricted stock grants awarded in 2002 fluctuates with the market price of Oceaneering stock which increased $45, nearly 150% from $30.80 at the end of September '06 to $75.80 at the end of 2007. Our current forecast for the fourth quarter anticipates unallocated expenses at the $22 million to $23 million level down from the $26.5 million in the third quarter. Of course this will partially depend on our closing stock price on the last trading day of the year. Now, moving on to cash flow. If you add depreciation back to our operating income we generated over $110 million in cash flow in the third quarter 35% more than the third quarter of 2006 and 12% above last quarter. Year-to-date our cash flow has been nearly $285 million up 38% for the comparable period in 2006. Capital expenditures during the quarter totaled $66 million. These investments were predominantly for upgrading and expanding our ROV fleet, the acquisition of Ifokus which is a Norwegian developer and manufacturer of specialty subsea products including ROV tooling, and facility expansions in Morgan City and Norway. Approximately 85% of our investments during the quarter and 80% year-to-date have been in our ROV and subsea product businesses. The two operations that offer us excellent growth... excellent future growth prospects as they are tied to deepwater and subsea completion activity. We now anticipate investing approximately $220 million this year. This will mainly be for ROV fleet expansion upgrades, facility expansions acquisitions, including Ifokus, maintenance CapEx projects and vessel upgrades. We are continuing to look for additional accretive acquisitions and organic growth opportunities with better than cost to capital return, and intend to use our strong cash flows and balance sheet to further grow our earnings. Because we have been able to put our cash flow to work, namely in capital expenditures and the subsea products raw materials inventory, our debt increased $18 million during the quarter. At the end of September, we had debt of $263 million and equity of $869 million. Our debt to cap percentage was 23%. Our cash balances were about $15 million to $20 million higher than normal at the end of September because of large receipts from customers at the end of the month. Now I am going to turn the call back over to Jay.
T. Jay Collins - President and Chief Executive Officer: Thank you Marvin. In summary we achieved a record quarterly net income in the third quarter and have already realized record annual EPS performance in 2007 for the fourth year in a row. Our focus on providing services and product for deepwater and subsea completions is a good way to play a major secular growth trend currently underway in the oilfield service and products industry. Looking at 2007 EPS outlook. As we said in the press release and as I mentioned earlier in recognition of our performance during the third quarter and an improved fourth quarter outlook we are raising our 2007 EPS guidance range. We now forecast record EPS for 2007 in the range of $3.15 to $3.25 a growth of approximately 40% over our 2006 record. For specific fourth quarter guidance, we're projecting earnings of $0.73 to $0.83 per share and compared to the third quarter, we expect profit contributions from subsea products to increase on the strength of increased throughput on umbilical manufacturing plants. We are forecasting the operating income contribution from our ROV segment to be about the same. We anticipate our subsea projects in inspection business to seasonally decline. Some of our Gulf of Mexico diving work related to hurricane damage projects will end some time in November. Additionally, we will also be putting two of our dive support vessels into dry-dock for regulatory inspections during a portion of this quarter. And we are predicting lower results from our MOPS and ADTECH segments; MOPS due to decline in engineering project work and lower equity income from the Medusa Spar, ADTECH due to completion of a large engineering contract with normal government spending slowdowns. These slowdowns are attributable to the fact the government appropriations for FY 2008 commencing October 1, 2007 are now being put in place as well as the seasonal drop in work over the holidays. Looking beyond 2007, we expect the price of oil will remain at high levels. In this environment oil and gas companies, our customers, are projected to increase their capital spending a rising percentage of which is expected to be spent on deep water fields. Deep water is one of the best frontiers for adding large hydrocarbon reserves, with high production flow rates, at relatively low finding and development costs. Specific signs of a healthy deep water market that will continue to drive demand for our services and products were evident at the end of September. About 75% of the deepwater field discoveries around the world were not yet in production. Over 95% of the existing 203 floating rigs in the world were under contract and over 75% of these were contracted through the end of 2008, 67 new floating rigs were scheduled to be added to the worldwide fleet through 2011 up from 60 as of the end of June and up from 42 at the end of September a year ago. 46 of these or roughly 70% had already secured term contracts with an average length of nearly five years. As a side note, 14 ROV contracts have been awarded on these 46 contracted rigs and we secured all of these contracts and we'll provide 19 ROVs. Since the end of September, two additional new floating rig construction announcements have been made both with... without contracts. Based on the Quest Offshore's latest forecast, over the next five years average subsea production tree orders are forecast to be at least 475 per year and demand from umbilicals is forecast to average approximately 2600 kilometers per year. These forecast compare to an average annual demand for approximately 353 orders and 1450 kilometers of umbilicals over the past five years, that's almost an 80% increase in umbilical demand. In view of these market signs, we anticipate the demand for our deepwater services and products will continue to rise from current levels and believe that our business prospects for the next several years are excellent. Consequently we expect our 2008 earnings to be even higher than 2007. During 2008, we expect the market environment for our deepwater oilfield services and products will continue to be characterized by robust demand. This is being driven by high crude prices, limited non-OPEC supply growth, significant reservoir depletion rates, and solid hydrocarbon demand growth. We like our market position, given the future demand, visibility of our services and products. Consequently as we stated in the press release, we are initiating 2008 EPS guidance with a range of $3.50 to $3.80 based on an average of $56.5 million diluted share. At the mid-points of our current 2007 and 2008 EPS range estimates, this equates to EPS growth in 2008 of $0.45 per share or nearly 15%. This growth in EPS is anticipated to be lead by profit contribution increases from ROVs and subsea products. We have not yet completed our detailed planning process for next year, but the big picture of the annual 2008 versus 2007 changes; we envision occurring can be recast as follows. All of the operating income growth of $25 million to $35 million as we continue to generate more revenue for today on hire and grow our fleet. We expect to add approximately 30 vehicles to our fleet in 2008. However based on the projected timing of the new rig deliveries, most are anticipated to be added during the second half of the year. Subsea products operating income growth of $25 to $35 million. As we explore continued demand growth for our specially subsea product offerings and increased throughput and efficiency at our multiplex umbilical manufacturing facilities. We are forecasting a 20% to 25% increase in revenue with a slight improvement in operating margins. And our subsea projects operating income is expected to decline approximately $20 million. During 2008 we foresee decrease in demand for our shallow water vessel and diving services and hurricane damage projects near completion. This past month BP did note exercise their option to continue use of the Ocean Intervention III or the Maersk Attender on their down platform project, as the work to be done is progressing much faster than originally thought. We've notified Maersk that we will not exercise our option to keep the Attender after the initial one year contract... one year term is completed in June, and we plan on using the OI III on deepwater project after its initial one year term is completed in May. As previously announced, we plan to augment our ability to undertake deepwater work with the Olympic Intervention IV, late in the second half of 2008. Additionally, 4 of our 6 company owned vessels including all three of our deep water boats will be temporarily out of service during the year, undergoing regulatory dry dock inspections. Accordingly we will not be -- we not only be incurring additional expenses on these vessels, but we'll lose the opportunity to profit from their use, during these dry docks. Our inspection business is likely to show some improvement due to continuation of broad base increase in demand for our services, our MOP segment; profit contribution is expected to decrease due to the absence of the production barge San Jacinto and a lower day rate to the Ocean Legend. Equity income from Medusa Spar is also expected to decline as annual production throughput will likely drop. ADTECH operating income we begin as a large contract for engineering services was completed at the end of September 2007. Our SG&A expenses will increase as we continue to grow the company; we expect SG&A to grow at a rate in the 12% range. Depreciation and amortization expense is expected to be $15 to $20 million higher. At this time we're not going to give out anymore detailed information for 2008, nor we're going to address the... anymore specific guidance for the first quarter. For those of you who intend to publish quarterly estimates, I'd like to remind you that historically, our first quarter is the lowest of the year due to the seasonality and that we intend to have higher earning in the second half of the year compared to the first half. We will give out our first quarter guidance at our next earnings call in late February next year. And certainly we are expecting to achieve continued growth and financial results in 2008 and record annual earnings for the fifth consecutive year. This is primarily attributable to the secular demand growth occurring for services and product to support deep water and subsea completion activity which we anticipate will last for several more years. At present we anticipate spending about $30 million on maintenance CapEx during 2008 funding additional ROV fleet growth and completing the capital projects and process at the end of the year. The total of this is expected to run in the range of a $125 to $150 million. Above and beyond this spending we intend to continue to invest our cash flow in organic growth and pursue accretive acquisitions. To the extent we don't find suitable investment opportunities we intend to pay down our revolving credit line, consideration will also be given to buyback shares in the open market. In summary our record quarterly results continue to demonstrate our ability to generate excellent earnings and cash flow. We believe our business strategy is working well for both the short and the long term; our technology gives us operating leverage to take advantage of the high level of deep water and sub-sea completion activity currently underway. The market outlook for our deep water and sub-sea service and product offerings is excellent and we continue to believe that we're in one of the sweet spots of this up cycle, we've already achieved record annual earnings for the fourth consecutive year in 2007 and with escalating demand for ROVs and sub-sea products we're projecting another record year in 2008. We appreciate your interest in Oceaneering and will be pleased to answer any of your questions. Question And Answer
Operator: [Operator Instructions]. Your first question comes from the line of Jim Crandell.
James Crandell - Lehman Brothers: Good morning.
T. Jay Collins - President and Chief Executive Officer: Good morning Jim.
James Crandell - Lehman Brothers: Nice quarter Jay.
T. Jay Collins - President and Chief Executive Officer: Thank You.
James Crandell - Lehman Brothers: Jay,could you give us an update on the number of floating rig orders that are out there... floating rigs out there that have now ordered ROVs and how you continue to do in that segment.
T. Jay Collins - President and Chief Executive Officer: Sure Jim, I'd be glad to. Let me just check my notes here on that, find the right numbers here. 40% have... 46% have contracts, 14% have ROV contracts. We won them all to provide 19 ROVs. That's 46 out of the 69 that we now know of. So it's 69 rigs have been ordered, 46 have operating contracts now. And on those 46, there have been 14 ROV contracts placed. We won all 14 of those jobs, and we're going to provide 19 ROVs on those 14 rigs.
James Crandell - Lehman Brothers: How would you characterize the construction and maintenance ROV market Jay?
T. Jay Collins - President and Chief Executive Officer: It's been very strong. I've been surprised that over the last year and a half or two years that actually our mix has shifted a little bit more in favor of the construction and maintenance activities compared to drill supports. So while drill support's been moving up rapidly, the vessel and construction based ROVs has more than kept pace.
James Crandell - Lehman Brothers: Okay. And last question. How would you expect at this point your average price increases in ROVs over the course of lets say '08 to compare with what you've achieved in '06 and '07?
T. Jay Collins - President and Chief Executive Officer: I am always reluctant to predict that number Jim. That's what you guys do. We're just going to keep trying and I think our best advice is to bet on continued same margins that we have that we've been achieving and it is really more of a volume play at this point in time but it's a hard spot with very profitable companies that we work for but we are continuing to raise our prices everyday.
James Crandell - Lehman Brothers: Okay, we'll keep up that 100% market, Jay?
T. Jay Collins - President and Chief Executive Officer: We will keep trying, Jim. Thank you.
James Crandell - Lehman Brothers: Thanks.
Operator: Your next question comes from the line of Scott Gill.
Scott Gill - Simmons and Company: Yes, good morning gentlemen.
T. Jay Collins - President and Chief Executive Officer: Good morning Scott.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Good morning.
Scott Gill - Simmons and Company: Jay, if you could just go back to your commentary on your backlog at sub-sea products, I think I may have taken down my notes wrong. I thought I've heard you say that you lost a $65 million order to a competitor, is that right?
T. Jay Collins - President and Chief Executive Officer: Yes, unfortunately, I hate to report things like that but there was an order that we worked very hard for and competitors have got it.
Scott Gill - Simmons and Company: Okay. But then you also said that you expect backlog at end of the December quarter to be back to at roughly $380 million and could be a little bit higher than that. Right?
T. Jay Collins - President and Chief Executive Officer: Sure.
Scott Gill - Simmons and Company: And so, what do you have in hand that you're seeing today... also given the fact that you expect those numbers to be up a little bit here in the fourth quarter that's going to build that much backlog?
T. Jay Collins - President and Chief Executive Officer: We're working on... we've got a whole list of things that we are working on all the time. So we do our internal forecast on a project by project basis and so I said our $380 million we feel like it is a little bit conservative. Let me give you a little bit analysis on the backlog in general here and quickly as it relates to our forecast of 20%, 25% growth as I anticipate that that's of interest to everyone.
Scott Gill - Simmons and Company: Right.
T. Jay Collins - President and Chief Executive Officer: Our 380 million backlog compared to 360, our projection for that is end of this year compared to 360 at the end of '06 is only up 5%. However, let me take you through a little analysis. When we exclude the respective backlog amount that will not be recognized as revenue within the calendar year both starting '07 and starting... and for '08, these numbers would change to $335 million forecast for the end of this year compared to $290 million at the end of '06. So that's a 16% increase that really focuses on the next calendar year. In addition to your question we talked about some additional orders that we think will come right at the end of the year to about $40 million. We did not include those in our backlog figures and whether they may... end of the year or slide into early '08 that's another 14% on the $290 million figure that we had at the end of '06. So I think on a real apples-to-apples basis on what compared to '06 number really 16% increase is more comparable plus the other $40 million would add another 14%. So, either by year-end or shortly after we believe we'll have an order book of the products business totaling $375 million that will be recognized as revenue in 2008 and that's really a 29% from the $290 million we had at the end of '06. So overall we're quite confident with our 20%, 25% revenue growth for this product business.
Scott Gill - Simmons and Company: Okay, Jay. And as you look at the product forecast for 2008 versus 2007 I think you said up 40%. Do you feel pretty confident that that should be reflective of the type of backlog growth you could see for next year?
T. Jay Collins - President and Chief Executive Officer: I am really reluctant to pick backlog growth. Quest is an indicator of the market out there; I really wouldn't use their numbers to forecast our numbers.
Scott Gill - Simmons and Company: Okay. And just my last question then. Any pricing power on your product side or is this still pretty much going to be volume throughput driven.
T. Jay Collins - President and Chief Executive Officer: I think this is mostly a volume story. But we did say in our commentary that we expect some slight margin improvement in our products group and we move through '08... '07 we have seen margins go up in that business a little bit, and we think that will continue into '08. So, we are little more optimistic than we were this time a year ago on product margins.
Scott Gill - Simmons and Company: Okay. Thank you very good quarter guys.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Hey John, Marvin is going to comment.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Let me just make sure, what I am inferring from your question. I just want to clarify for the group. We are talking about current backlog, quarter end backlog of $344 million growing to $380 million. The loss is $65 million isn't coming out of the backlog.
Scott Gill - Simmons and Company: That's right.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Okay, I just wanted to make sure, okay, so what we are talking about is a $36 million growth in backlog during the fourth quarter.
Scott Gill - Simmons and Company: Quite competitive. Had you won that order, it would have been closer to 400 at end of this quarter, right?
Marvin J. Migura - Senior Vice President and Chief Financial Officer: And that's why, we have been saying on the prior calls that we expected backlog to be meaningfully up by the end of the year. And now we think it's not going to be; it will be flat with June of '06... '07, sorry.
Scott Gill - Simmons and Company: Thank you.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Okay. Thank you.
Operator: Your next question comes from the line of Neal Dingmann.
Neal Dingmann - Dahlman Rose & Co.: Good morning guys.
T. Jay Collins - President and Chief Executive Officer: Good morning.
Neal Dingmann - Dahlman Rose & Co.: Say on the ROV side, is it fair to say that, is it still a capacity issue meaning that whatever you could get out the door, the market is still... would eat up?
T. Jay Collins - President and Chief Executive Officer: I would say so far we've been able to put all the ROVs that we build to work. I would say there is still... there is a shortage of people as well as equipment and... but I think the market... we are keeping the market just barely supplied, I would describe it.
Neal Dingmann - Dahlman Rose & Co.: You...are those directed or going towards different areas or sort of the same core areas that you had the last couple of quarters.
T. Jay Collins - President and Chief Executive Officer: In terms of the... where the ROV are going to work?
Neal Dingmann - Dahlman Rose & Co.: Correct.
T. Jay Collins - President and Chief Executive Officer: I don't think...we're not seeing our mix change very much. So, I think we anticipate the mix to stay about the same.
Neal Dingmann - Dahlman Rose & Co.: And then on the subsea projects business, obviously with some of that hurricane work going down a little bit, I mean do you... are you shifting and scheduling some things to take the place of that or are we just to going to see that sort slide down a little bit?
T. Jay Collins - President and Chief Executive Officer: I think, we'll just see a smaller amount of shallow water diving work and that's kind of what we are reflecting, in our forecast for lower business. So, I think that there is really no... nothing to take the place of... on the shallow water diving side, nothing to take the place of that hurricane business. On the deepwater side, we see that certainly as a continuing growing market and that's why we're bringing in another deep water vessel that will come in fourth quarter of '08. So we'll... on one hand we see a shallow... slowdown in the shallow market due to... not as much as hurricane work, we see the deep water market continuing to look good.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: And we think... as we mentioned the OI III will go from project... hurricane project work to deep water work.
T. Jay Collins - President and Chief Executive Officer: That's right. Thank you, Marvin.
Neal Dingmann - Dahlman Rose & Co.: Okay. And then last question. On acquisitions, you mentioned, you are looking at some obviously with your cash position. What are you seeing in the market as far as... now that I guess some at least the land guys have softened; are we seeing any of that with some of the subsea acquisitions and companies you're looking at or is the market still like I guess as frothy as it has been over the previous quarters, just wondering if you can give us some color there?
T. Jay Collins - President and Chief Executive Officer: I think, we still see at pretty strong on the... anything related to subsea area. We don't look much on the land drilling and land sides. So, I think we haven't... we not really anticipating taking advantage of the softness in the land market in our acquisition work. So, we're still looking hard for products and things that stay out and things where we can add enough value to be able to pay the market price for an acquisition. So, that's really the challenge.
Neal Dingmann - Dahlman Rose & Co.: Okay. Great guys, thanks and keep up the good work.
T. Jay Collins - President and Chief Executive Officer: You bet. Thank you.
Operator: Your next question come from the line of Joe Agular.
Joe Agular - Johnson Rice and Company: Thanks. Jay could you... given say a 40% kind of growth rate in industry orders next year for Multiflex, could you just kind of remind us what your view is of industry wide capacity to handle the kind of order increases that anticipated?
T. Jay Collins - President and Chief Executive Officer: Sure Joe, I would say at the moment there is excess capacity in the industry. We... our UK plant is going all out, it's got all the business it can handle. Brazil there is plenty of business, but it could do a little bit more in the future and we still have excess capacity in our plant in Panama City. So, I believe that instant ramp up to 40%, I don't know if that's excess capacity in the market. But I believe that there is excess capacity in the market and I think we will be able to meet demand throughout '08. At some point if it keeps growing, these lands may get capacity constrained in the next 2 or 3 years. But I don't think that'll happen in '08.
Joe Agular - Johnson Rice and Company: Right. I mean why shouldn't your ROV business be a leading indicator for your products' business 2 or 3 years out?
T. Jay Collins - President and Chief Executive Officer: I think there is no reason that it's not Joe. I mean put all these the 67, 69 drilling rigs to work, I think that's got to generate business for us and all the subsea players.
Joe Agular - Johnson Rice and Company: And just one last point on the products in the quarter. Obviously strong results, you mentioned in your remarks, kind of OIE and Multiflex, both was kind of equal in magnitude in terms of the improvement or did one do a little bit better than you expected?
T. Jay Collins - President and Chief Executive Officer: I better not get into more detailed discussions of the segment. But I'll say OIE continues to do very well. We think they have great business segments in that group.
Joe Agular - Johnson Rice and Company: Okay. Thank you very much.
T. Jay Collins - President and Chief Executive Officer: You bet.
Operator: Your next question comes from the line of Bill Sanchez.
William Sanchez - Howard Weil, Inc.: Good morning.
T. Jay Collins - President and Chief Executive Officer: Good morning.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Good morning Bill.
William Sanchez - Howard Weil, Inc.: Jay I was curious of the 19 ROVs now that have been ordered for the new build construction on the deepwater side. Are all of those... are you attending on delivering all those next year to floaters coming out, is that part of the 30 vehicles that you are taking delivery of in '08?
T. Jay Collins - President and Chief Executive Officer: No, you really can't try some that way. I mean some of these rigs that have committed are once that are not coming out to a later in the cycle. So, you really can't trace them like that. And as you might imagine, we are building ROVs that are having to go to shipyards, they will be put on rigs that may not come out until '09. So, there is lot of logistics going on behind the scene. So we are just reporting to you ROVs that we are trying to put in service.
William Sanchez - Howard Weil, Inc.: Okay. So, there is no real consistent lead time between ROV order and the delivery of the... the ultimate delivery of the rig?
T. Jay Collins - President and Chief Executive Officer: Unfortunately not. Some people are happy to work two or three years in advance and other people tend to put it off in the last six months.
William Sanchez - Howard Weil, Inc.: Got you. One other question, you've mentioned the '08 forecast of 40%, and I am just curious, if we look to the back... or the balance of '07, 40% now umbilical orders expected to commence for the Quest data. How comfortable you feel in that Jay and do we possibly see that never coming in less and therefore the growth year-over-year '08 versus '07 is actually going to be higher.
T. Jay Collins - President and Chief Executive Officer: You are saying. What if the Quest numbers is wrong and if not umbilical orders really add up 40%.
William Sanchez - Howard Weil, Inc.: Yes, I mean... no, that you don't get 40% of the '07 expected orders in the fourth quarter here, I think if I heard you correctly earlier?
T. Jay Collins - President and Chief Executive Officer: Well, we are really looking at real jobs in our numbers. So, we are not really depending on Quest forecast for that kind of answers. So, we are looking at real jobs and Quest can be right or wrong and really it depends on us winning specific jobs.
William Sanchez - Howard Weil, Inc.: Fair point. Thank you sir.
T. Jay Collins - President and Chief Executive Officer: You bet.
Operator: Your next question comes from the line Joe Gibney.
Joseph D. Gibney - Capital One Southcoast, Inc.: Good morning guys. How are you?
T. Jay Collins - President and Chief Executive Officer: Fine Joe. Good morning.
Joseph D. Gibney - Capital One Southcoast, Inc.: Just wanted to follow-up on the earlier question related to the construction and field maintenance side on ROVs.
T. Jay Collins - President and Chief Executive Officer: Okay.
Joseph D. Gibney - Capital One Southcoast, Inc.: Curious how you see that mix kind of progressing over the next couple of years, it sort of holding the line with the drilling. But it seems to be picking up a little bit, just kind of curious. How you see that shaping up and kind of geographically, how within the construction ROV side your product mix is currently?
T. Jay Collins - President and Chief Executive Officer: Well I mean, let me... it's easier to talk historically. Let me do that first. I guess we were a little surprised over the last year and a half that there was many opportunities for us on the vessel based projects in vessel based services in West Africa. There were several large vessels that would... wanted two ROVs on board. So that area was... grew faster than we thought. Going forward, I think it's difficult to project long-term and that as to how many vessels are going to need ROVs. But there seem to continue to be a field maintenance vessels that get established in these deepwater fields, all need to be serviced. So, I think... we've been pleased at the vessel maintenance business as good as strong it has been. And I think we are expecting that mix to really stay the way it's stayed somewhere in that same range for the next couple of years.
Joseph D. Gibney - Capital One Southcoast, Inc.: Okay. You guys booked some BOP control system awards during the quarter I was just kind of curious your outlook within that market, it maybe kind of market share expectations, you think you might be able to garner there going forward?
T. Jay Collins - President and Chief Executive Officer: Really don't have any market share information for you. This is a relatively new start up business for us that's been very successful in achieving some new orders in the market. We're really optimistic about this business; I mean it's starting from a low base. But hopefully, it will grow nicely over the next two or three years. We got to get our product out in the market and these full systems and see it work, and let the customers see what we think is going to be the best estimate in the marketplace. A little too early I think for market share and so forth, but let's get out in the market and get a year's of experience and... but we are very optimistic long-term about that business.
Joseph D. Gibney - Capital One Southcoast, Inc.: Okay. That's helpful. And just one last question. You mentioned the San Jacinto charter obviously you were wrapping up last quarter. Just kind of curious how you are looking at the bottom MOPS segment overall and kind of how that plays into your strategy moving forward, I mean, I guess timeframe and looking at some of your other assets in there and what you plan to do?
T. Jay Collins - President and Chief Executive Officer: Right. Well we do have a tanker that we bought, that is... would be an excellent asset to turn to a MOPS job. We continue to looking around the world to see if we can find a particular job that works for us. This has been a very episodic kind of investment opportunity for us, it's not essential that we find such an investment. But if we conclude, we can't find the appropriate investment; we might sell that tanker in the future. But we are looking for the right investment and maybe we will find it. So, it's an opportunistic kind of play for us and if we find it, fine if not, we'd probably have a gain in the vessel right now.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: And the other two assets that we have, the Ocean Legend and the Ocean Producer all are on contract and are significant contributors to [indiscernible].
T. Jay Collins - President and Chief Executive Officer: That's right.
Joseph D. Gibney - Capital One Southcoast, Inc.: Fair enough, I appreciate it guys. I turn it back, good quarter.
T. Jay Collins - President and Chief Executive Officer: Yes, thank you.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Thanks.
Operator: Your next question comes from the line of Thomas Escott.
Tom Escott - Pritchard Capital Partners: Good morning fellows.
T. Jay Collins - President and Chief Executive Officer: Good morning Tom.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Good morning Tom.
Tom Escott - Pritchard Capital Partners: A couple of more things about the subsea products. Obviously it was just an outstanding quarter with revenues up sequentially from $117 million to $145 million from June to September. Was there one or two big lumpy shipments, big monster projects that got been shipped in the period, that sort of helped to cap for that. Let's say significant performance or was it just a whole multitude of many projects and nothing... no one specific Job.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Tom on the big, huge monster projects. We do those on percentage of completion anyway. So, it wouldn't be a shipment issue. So, I mean just to make sure that we remind everybody that we do use on most of the large or umbilical contracts, we use percentage of completion accounting for those. So, it goes in... it's not tied to shipment dates, it's tied to as we progress the project.
T. Jay Collins - President and Chief Executive Officer: I think that's probably the best answer. So, now we think it... as we said during the year, we forecast $30 million to $45 million improvement in operating profits from products and I think so far two or three quarters, we've delivered $33 million out of that $30 million to $45 million range. So, we anticipate that this would be a growing business segment for us throughout the year.
Tom Escott - Pritchard Capital Partners: No doubt. And then you've segued into the next question, as it relates to that and then there's margin issue. Obviously, the headline operating margin goes from 18% to 21% in the period. But just on a sequential basis, incremental gross margin from June to September on the incremental dollars was like 35% incremental margin. Is that indicative of the strong pricing, that you have embedded in the backlog in new orders or was there anything unusual to make these margin be so big in that period.
T. Jay Collins - President and Chief Executive Officer: Well, I wish I could tell you it was some great new pricing figure strategy that we had Tom. But I think it... as Marvin said it... I think it's just a... just a combination of a bunch of small projects that we put together. I will say that we did complete during this quarter two in Multiflex that were just short of $30 million projects. As Marvin said, we do accrual accounting. One of these projects was in the North Sea in Rosette [ph] in Scotland and the other in Panama City where we completed project to our customer satisfaction pretty much on time and within our own financial expectations. So, we had good results, and I think we... as I said earlier, we expect margins to be up slightly in '08.
T. Jay Collins - President and Chief Executive Officer: Underscore slightly.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Underscore slightly, we are talking about...
T. Jay Collins - President and Chief Executive Officer: We are not talking about huge pricing level.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Note huge changes. So, I think it's incremental and I just tell you we had good performance and good execution in the quarter and we are hoping that... we expect that to continue.
Tom Escott - Pritchard Capital Partners: So, that's the bottom line on this is one of these two questions gets to that issue and that is that the performance we saw in September, that it was not an unusual strange event and it was not non-recurring items, it was continuing repeatable sustainable business with embedded higher margins in that backlog.
T. Jay Collins - President and Chief Executive Officer: I think if that wasn't the case, we wouldn't be able to project the growth for '08 and expect just like Marvin said slightly increased margins over '07.
Tom Escott - Pritchard Capital Partners: Thank you.
T. Jay Collins - President and Chief Executive Officer: You bet.
Operator: Your next question comes from the line Waqar Syed.
Waqar Syed - Petrie Parkman: Hi. I have the... I have a question on the subsea projects, you mentioned that BP has not exercised it's option to extent contracts in the vessel. Now, is it for both vessels or just one vessels?
T. Jay Collins - President and Chief Executive Officer: No, for both vessels... both vessels.
Waqar Syed - Petrie Parkman: Okay. So now...
T. Jay Collins - President and Chief Executive Officer: Actually, we are going to be... we were pretty much done the work faster than we thought.
Waqar Syed - Petrie Parkman: Okay. So, it would be fair to assume then that most of the $20 million shortfall is going to be in the second half of '08? That's when these contracts... the contracts expired in May and June of '08, that...
T. Jay Collins - President and Chief Executive Officer: No, I don't think that would be a fair assessment. I know that the contracts do expire in May and June. As Jay said, we're going to release the Maersk Attender in June after the one-year initial term and we're going to put the OI III after the initial term is up in May. We're going to put that into deepwater work. And the OI IV comes in, in the fourth quarter so I wouldn't model it in the second half. I mean looking at the $20 million projected shortfall, one of the things that I want to remind everybody is we're not going to have $3.5 million of the gain that we had on the ocean service and that was in Q1 and then we're estimating about 5 million of dry dock expenses and the remaining 11.5 balance is split between lost profit opportunity while the vessels are out of service and a softer shallow water diving market.
Waqar Syed - Petrie Parkman: Okay. Now I know it's difficult but to predict into '09 but you think you could level off in '09, '08? Do you see continued declines in this business if you don't see any hurricane... any additional hurricanes?
T. Jay Collins - President and Chief Executive Officer: Well as we said before we obviously have confidence in this deepwater part of this market and we wouldn't be bringing in the OI IV coming in the fourth quarter of the second half of '08. So we see that deepwater support market that we've been part of as a continually growing business here so we're not really making any forecast for '09 but we're very happy with the sort of base level... growing base level business in the project side of... part of our company.
Waqar Syed - Petrie Parkman: Would it be fair to assume that maybe half of your income in the business comes from the deepwater part and the rest is more than hurricane related work?
T. Jay Collins - President and Chief Executive Officer: Well we're really not going to try to break it down any farther than product groupings that we give you. So, sorry about that.
Waqar Syed - Petrie Parkman: Okay. And then on the umbilical side, you mentioned that orders could be up according to Quest about 40%. Could you divide that between what's the order flow for... between steel tubes versus thermoplastics?
T. Jay Collins - President and Chief Executive Officer: You'll have to call Quest and buy that from them.
Waqar Syed - Petrie Parkman: Okay, all right. Thank you very much.
T. Jay Collins - President and Chief Executive Officer: I was just joking.
Waqar Syed - Petrie Parkman: I know, I know.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: That's a pretty good answer Jack.
Operator: Your next question comes from the line of Jordan Shinaar [ph].
Unidentified Analyst: Good quarter guys. I was just wondering if you can comment at all on the number of hires and where you are at your target in Q2. You talked about on target for the year, 400 people; and where you are at that and if you can give some guidance going forward.
T. Jay Collins - President and Chief Executive Officer: I think that we were talking about needing to hire 400 ROV pilots during the year and we're quite well on target to do that. We're, I think, having a... have an excellent success in what's a very difficult goal of hiring and training ROV pilots and what is even behind that... everyone of these new jobs has to have new supervisors and so you have to promote and train supervisors as well. So, I don't have numerical number for you. But...
Marvin J. Migura - Senior Vice President and Chief Financial Officer: We are on track.
T. Jay Collins - President and Chief Executive Officer: We are very much on track to do that and we are manning our jobs and very focused on training and as I've said earlier, previous call, we view this as a competitive advantage that our training programs and the quality of our cruise and that we can hire and train people all over the world in many nationalities to be... to run our ROV businesses. So it's expensive but we view it as a competitive strength.
Unidentified Analyst: Do you see no, then issues going forward with the large roll-outs of the ROVs and to man these things.
T. Jay Collins - President and Chief Executive Officer: It's just a lot of hard work and expenses. But we think we are on track and we are comfortable we can accomplish that task.
Unidentified Analyst: Okay. And then just on the dry docks, can you just give some exact timing of when you expect those dry docks and how long the expectations are for those?
T. Jay Collins - President and Chief Executive Officer: No, we are not going to get in to vessel-by-vessel comments or any sub-segment discussion.
Unidentified Analyst: Okay. All right, super. Thanks guys
T. Jay Collins - President and Chief Executive Officer: Thanks.
Operator: [Operator Instructions]. At this time there are no further questions.
T. Jay Collins - President and Chief Executive Officer: All right. Thank you very much.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Thank you.
Jack Jurkoshek - Director of Investor Relations: We look forward to talking to you next quarter.
Operator: This concludes today's conference. You may now disconnect.